Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Calloway REIT Fourth Quarter 2013 Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions). I would like to remind everyone that this conference call is being recorded today February 13, 2014. I will now turn the conference over to Huw Thomas, President and CEO. Please go ahead.
Huw Thomas: Good morning everyone and welcome to Calloway’s yearend 2013 conference call. I am Huw Thomas, President and CEO of Calloway, my pleasure to be leading this call. Joining me on the call this morning are Rudy Gobin, our EVP, Asset Management; Mario Calabrese, our Interim CFO; Steve Liew, our VP, Finance and Acquisitions; Anthony Facchini, our VP Operations; and John Darlow, our VP of Leasing. I’ll make some remarks about the year overall and then we will open it up for questions and my comments will mostly referred to the personal pages of our supplementary information package posted on our website, and I refer you to the cautionary language at the front of that material, which applies to any comments we make this morning. Overall we are pleased with the results for the year, considering the general economic climate and the overall retail market conditions. FFO increased 8.9% to $247.1 million and 3.3% to $1.847 on a per unit basis compared to fiscal 2012. Same property growth increased just in excess of 1% and well after four consecutive years, it may appear easy to continue our market leading occupancy level at 99%. The reality is this takes a great deal of hard work and it’s also I think a clear reflection of the quality of our assets. Total renewals for 2013 lease maturities were at 87% despite ongoing rationalization, but a few of our tenants, overall we ended the year with a mid-7% increase for this year’s renewals. And I continue to emphasize our tenant inducements on renewals are non-existent. If I look at our weighted average rent per square foot excluding anchors it’s up to $20.88 per square foot at yearend 2013, versus $20.20 or $20.20 at yearend 2012. Again the performance was continued to reflect the increasing quality of the portfolio. Overall, we’re generally pleased with tenant demand. For vacated space, we’re generally been able to release in reasonable timeframes at higher rents than previously obtained. Again reflecting the strength and drawing power of our centers and in particular the significant traffic created by Walmart, especially where they had food in the super-centered format. With respect to the CIU category, we continue to see growth of the Dollar Store industry in Canada, where we now have 53 stores just from Dollarama and Dollar Tree alone. Together with demand from other retailers such as Winners, Sport Chek, Toys R Us, Michaels and category growth in pharmacy, beer, liquor, fitness, banks and restaurants. Ultimately providing healthy demands for space in most categories across the country. Overall we see the ongoing recognition of the strength of the building blocks of our business proposition to provide value-oriented, well located, dominant retail centers, anchored by major retailers and in particular Walmart, all of which drives significant traffic to our centers and provides good opportunities for other tenants to better serve their customer’s needs and simultaneously grow their business. With respect to future growth changing both the reality, and the perception of the orientation of the business takes time, but I clearly believe the Calloway is moving in the right direction. There is no doubt in my mind that the Calloway platform is able to deliver a stable income stream with market driven increases in rents based on strong tenant demand and the quality of our assets. Building both momentum and a suite of initiatives to drive accelerated growth, while closely managing risk is a complex juggling act, but I believe Calloway has excellent building blocks to achieve this. No one initiative will always dramatically drive growth or overstress the business, but collectively our growth portfolio will ultimately provide our unit holders with both the stable platform and an improving distribution stream. If you look at 2014, assuming of course no major market downturn, I see growth in our FFO accelerating due to income growth from same property rent increases, a full year of NOI from our 2013 acquisitions, the benefits from refinancing and the benefits from our development and earnout last year, and we’ll continue to strive to grow FFO with similar or increasing levels into the future. Underlying these growth assumptions are the same property income growth around 1%, acquisitions in the range of $120 million to $150 million earnouts and developments at a similar level. And then as the G&A expenses will be fairly consistent with 2013 levels. We’re extremely successful opening of the Toronto premium outlet site on the 401 at Trafalgar earlier this year, provided a clear indication of how residents of the GTA felt about the attraction of outlet shopping with record traffic counts compared to other premium outlets openings south of the border, over that opening weekend and exceptional sales levels for all tenants. That strong performance has continued through Christmas season, as our outlook retailers continue to bring designer and other high value labels at truly discounted outlet prices that customers have come to expect south of the border. Based on updated sales numbers, the stabilized yield on the Toronto site is expected to ultimately be close to 9% as the center continues to deliver some of the best sales numbers seen at any premium outlet center across their portfolio and our JV partner Simon Property Group continues to be extremely pleased with the performance to-date, which clearly bodes well for our next venture in Montreal, which continues to move forward and constructions commenced with a fall 2014 opening plan. For Montreal, leasing is moving at a steady pace and we already have 45% of the project under lease and another 30% of the space is under commitments. Ultimately, we see this as another very successful value driven outlet location. And I would also note that we own a further 75 acres for future retail development adjacent to this site in a joint venture with Simon and with SmartCentres, which has already started to generate retail interest. For acquisitions, we acquired a number of sites during the year for a total of 1.1 million square feet at a total cost of about $287 million, four more anchors with Walmart Supercenters and two with food anchors, but all with a mix of high quality tenants. And overall, we see these acquisitions of the Calloway quality assets, which were served to support our ongoing income growth. For our development earnout pipeline, nearly 550,000 square feet came on stream during the year at an average yield of 7.2%, affected that we’re adding two good sized shopping centers this year alone. And this significant pipeline of future development positions Calloway to continue to deliver high quality space that helped the yields for a number of years. The Vaughan Metropolitan Center development continues to move forward. An onsite excavation work has now begun, as we start the construction of the 360,000 square feet office complex with KPMG as the lead tenant. and we’re actively moving forward to lease up to balance of the office and retail space available in this first phase. Not surprisingly in the background, significant work is continuing all phases of the planning and approvals that goes into a site of this magnitude and complexity, but all the areas are on track and we have begun internal discussions on the next tower for the site. Overall we continue to be very excited about the long-term opportunities of this site and extremely pleased with the level of support we are receiving from all levels of government. And certainly, I think its appropriate level, we’ll host event of this site, this year when things warm up a little bit to allow the investment community at large to get a better understanding of our development plans. Consistent with the focus on creating a number of growth opportunities, the Calloway team with support from SmartCentres has identified several opportunities within the portfolio to intensify existing types with further retail space, or to significantly increase the value of certain sites or mixed-use development. Combination of tenant demand, municipality is being more flexible and some tenant rationalization has provided us with specific opportunities to intensify existing sites with up to 300,000 square feet of new space over time. And then in addition, we’ve identified a handful of potential larger mixed-use sites for new retail office and residential space. These sites are in the early stages of zoning and all of the other necessary approvals and will certainly provide further details on the sites with additional informations available. Having said that, notwithstanding the high quality of the overall portfolio, we’ve also carried out a comprehensive review of both existing asset and future development lands and have identified a number of properties in the range of 1 million square feet, which will be targeted for potential disposition or restructuring moving forward. With proceeds realized expected to be reinvested in higher quality growth assets. And from my perspective, it is focused on recycling a capital will become an embedded part of our portfolio management going forward. With respect to the balance sheet, we’re well positioned to take advantage of growth opportunities as they arise, or any covered asset pools grown to almost $1.5 billion and certainly, the largest in our history. And debt-to-total asset is just under 44% and our interest coverage has improved to 2.5 times both well within our target range. [Indiscernible] 2013, we continue to look property as to renet finance our various debt obligations to take advantage of the low interest rate to environment based on the historic notes. During the year, we completed a combination of financings and refinancings for a total of $400 million of unsecured debentures and average rate of 3.429% and an average term of just over 5 years. From $75 million of these funds were used to redeem our 7.95 debentures, thus reduced in future interest cost. And then subsequent to the end of the year, we raised a further $150 million for seven years at 3.749%, the percentage of which we used to redeem our 2015, 5.10 financing, obviously, again, providing further interest savings in FFO accretion over time. In addition to the activity on our debentures, we’ve refinanced $117.3 million of maturing mortgages. In 2013, with new mortgages totaling about $275 million on average term of 11.3 years and at a rate of 4.14%, which were some 200 basis points below the average maturing rates. As we’ve moved into 2014, we’ve used our strong liquidity position to repay the first $57 million of maturing mortgages, but do expect additional mortgage refinancing in 2014 to be at lower than maturing interest rates. Overall, I believe all of our capital market activities have positioned us well to move forward with our strategic agenda while improving our overall key credit metrics. So if we consider the potential from a suite of growth initiative drivers together with an already superior covenant and a portfolio with exceptionally consistent occupancy levels, I believe we’re well positioned to provide significant growth potential for Calloway over time. And if I turn to distributions for a moment, our payout ratio continues to decline and it is now actually below our targeted range and I expect that trend will continue. Our current preference is to continue to lower our payout ratio and as such, we will be amending our target ratio to 82% to 87%. But over time, we expect Calloway to provide a balance of regular modest distribution increases while still retaining a certain amount of our cash flow to fund future growth initiatives. The platform we are building, I believe will certainly allow us to do that. On the management front; we’re still actively working with the major search firm to finalize the CFO position, and the board and I are optimistic about our ability to attract a high calibered candidate. In the mean time, Mario continues to provide very useful service, as our interim CFO so overall I’m very excited about Calloway’s future and of course look forward to spending time with you and our investors in the coming months, continuing to discuss Calloway and its future growth. With that I would be pleased to open up the call for any questions. Operator.
Operator: Thank you ladies and gentlemen, we will now conduct a question-and-answer session. (Operator Instructions) Your first question comes from Neil Downey from RBC. Please go ahead.
Neil Downey – RBC Dominion Securities, Inc.: Hi, Huw hi everyone.
Huw Thomas: Good morning, Neil.
Mario Calabrese: Good morning.
Neil Downey – RBC Dominion Securities, Inc.: Huw, you did make reference Huw, the plan to recycle some capital this year, referencing about a million in square feet, could you care to elaborate little in terms of the number of assets the IFRS value on those assets, the income in place, and the how advanced you might be in that process?
Huw Thomas: We are really in the thought process Neil, a range of assets size it probably five property to 10 property. So you will get a sense that none of them are necessarily very substantial properties. And so timing I think it will depend on market conditions, obviously we haven’t gone to market yet, and with respect to the detail it’s probably handled better off line. I don’t have all of the details right in front of me, so we can certainly provide you with that information, but because of the size of properties, and the nature of properties, I don’t think that being a major impact on the portfolio, but I do believe as I said that getting into the habit of being a little more disciplined about capital recycling is the right thing for us to do. While we are quality properties that growth is embedded in them, is lower than I would like and so I would prefer that we invest the capital from those properties in higher growth assets overtime.
Neil Downey – RBC Dominion Securities, Inc.: Okay, thank you.
Operator: (Operator Instructions) Our next question comes from Heather Kirk from BMO Capital Markets. Please go ahead.
Heather C. Kirk – BMO Capital Markets: In terms of the EMC and some of the other projects that you have on the line, can you provide some quantum around what the capital spend will be over the next 24 months?
Rudy Gobin: Hi, Heather it’s Rudy. We expect in this year we’ll be spending upwards of a $100 million over the next two years probably it could be as close as –– as much as double that in terms of buildings now keep in mind a lot of that is infrastructure, we have to put a lot of infrastructure in place to get it prep for the subway. So that’s roughly what we are thinking
Heather C. Kirk – BMO Capital Markets: So is that a $100 million over and then double just to clarify the $100 million over the next three years or is the $100 million…
Rudy Gobin: $100 million this year.
Heather C. Kirk – BMO Capital Markets: Yes
Rudy Gobin: And upwards and another 100 next year.
Heather C. Kirk – BMO Capital Markets: Okay.
Rudy Gobin: And again a big portion of that –– not a big portion but a portion of that will be to establish infrastructure for the overall site.
Heather C. Kirk – BMO Capital Markets: So we would expect to see that then sort of I guess trend down as you got the infrastructure.
Rudy Gobin: Absolutely.
Heather C. Kirk – BMO Capital Markets: And in terms of the timing of the completion of the KPMG tower, has there been any change about what are we –– we when you are expecting that to becoming income producing.
Rudy Gobin: All of the indications are to the fall of 2016, we continue to hear from TTC that that’s when we expect that subway will also open so we would obviously like to have those two events come together and that’s consistent with our bill schedule and everything else at this point ever.
Heather C. Kirk – BMO Capital Markets: And in terms of the capital recycling, do you have sort of geographic preferences, in terms of where you’re selling and how you’d like to balance the portfolio?
Rudy Gobin: No, not really, the geographic preference is it has to do what’s really the type of assets, the use of assets, the complexity of managing we’re looking at, it could be smaller asset, but we have a mixed-use potential so we would – we rebid at that. So we’re very early in it, but now there is no specific geographic area we’re targeting.
Heather C. Kirk – BMO Capital Markets:
Rudy Gobin:
Heather C. Kirk – BMO Capital Markets: So the takeaway should be that you’re really just going through the portfolio to take a look at expansion and growth opportunities?
Rudy Gobin: Yes, I think, I said on the third quarter call that, almost I think at Calloway in two ways. We have an incredibly stable portfolio, which generates obviously a very stable income stream with a very high quality tenant base. And then we’ve stepped back perhaps been a little more disciplined and a little more growth-focused than we might have been the past in through entire portfolio, figured out which assets we think make sense to absolutely stay within the portfolio for the long-term, but what other assets that may not necessarily be long-term keepers that we may recycle out. But also looked and seeing where this development happening in the various centers that we operate in and particularly if there are opportunities given the evolving focus around mixed-use. Particularly, where they are located in a transit, then we have some assets that I think have a great deal of potential. So we’re going through that process, identified those now going through the necessary approvals, obviously evaluating the financials associated with them, and so on. But ultimately, I think, we can deliver a balance of extremely stable growth, but also a growing suite of growth initiatives from a wide variety of areas.
Heather C. Kirk – BMO Capital Markets: Thanks very much.
Operator: Our next question comes from Sam Damiani from TD Securities. Please go ahead.
Sam Damiani – TD Securities: Thank you. Good morning everyone.
Huw Thomas: Good morning Sam.
Rudy Gobin: Good morning.
Sam Damiani – TD Securities: Just looking at the leasing pipeline, Nicholas quoted around 250,000 square feet for pending deals that something there is little low or compared to previous quarters and I wonder if you could just give us your thoughts on the outlook for leasing into the development note quickly.
Huw Thomas: I mean the leasing pipeline I think it’s still obviously relatively early in the 2014 timeframes Sam and atypically if you looked historically I think the renewal rates that we see on our leases improve overtime as the year progresses. So I’m not seeing anything that would give any concern that we won’t end up, close to what we’ve been able to drive in the past in terms of ultimate levels of renewal and lease rates. And similarly from development and to announce they are obviously driven to a certain extent by market conditions that are significant through an element of those, the development pipeline is the entity or the assets in their Mirabel, the premium outlet site that’s moving along very well despite obviously a tough winter in terms of building conditions and I have no concerns at this point that won’t come on stream. And for other sites we work with SmartCentres on a day-to-day, week-to-week basis to make sure that we understand what development is coming and we obviously plan accordingly. So again I feel comfortable with the number that we’ve given that we will be in that range by the end of the year.
Sam Damiani – TD Securities: Okay and just looking at your intensification plans with the Vaughan Metropolitan Centre at there was an arrangement with SmartCentres reached and bringing them in on a 50/50 basis. Do you see a similar plan for other properties for which Calloway is currently 100% owner of, for example the Westside Mall, how do you see that playing out involving SmartCentres?
Huw Thomas: I don’t think SmartCentres necessarily in a site like that Sam, it’s only because I think we would always consider whether there are partners that we should bring in that we’re going to add to the process and add to the value creation on the site, if we think it’s SmartCentres because of their particular expertise then I would refer to them if there are other partners that we think were appropriate. And we obviously have some sites where we have other partners involve then I would take us down that road. So I think best of class to me is the route to go to make sure that you maximize the value of the site, if that’s SmartCentres great, if its somebody else than that’s certainly where we’ll go.
Sam Damiani – TD Securities: Great okay thank you and just on the Best Buy business, even if you already addressed this here, but I guess you leased one of the spaces and another one is close to being leased I don’t know if there is any additional detail you can provide in terms of the names of the retailers in the rents that you are getting?
Rudy Gobin: Hi, Sam it’s Rudy, yes no we have two that are well one is leased, one is very, very close to being leased just haven’t executed the deal. And the other ones are – other couple are in discussions with tenants that we can disclose at this point. But and all of them have rents that are continuing to be paid by Best Buy until we do those deal. So we are very well covered up from that perspective.
Sam Damiani – TD Securities: Are you expecting to get a higher rent from the new tenants that take over these spaces or…
Rudy Gobin: None of the – well in the ones we are doing now they are the same or higher and ones is the same, one is a bit higher and then the other ones, given that way markets are, we do expect them to be higher yes. And again it depends on things like whether or not we take this space and re-demise the base for multiple tenants, single use units so it’s a tough question, because it depends really the answer on how we use the space.
Sam Damiani – TD Securities: Okay, great and what you are hearing from Best Buy these days, I mean they did announced I guess job cuts recently. But there is no closings, but what do you expect from tenants in that category over the next couple of years.
Huw Thomas: Well, interestingly enough when FY did closed their four locations with us and continue to pay rent on those locations early last year, we would have expected later on in the year that he would have made more announcements and they didn’t. They’ve gone through a really good time of looking at their space and they’ve introduced as you know the e-commerce and the pickup counter and it seems to be doing well for them. They are looking at – if you go into any of their stores there are looking at how they are moving things around within their store. And they’ve introduced new licensees within their stores. I think they are really taking a hard look at how they make money out of their space, because they are in good locations and to either downsize or give up their locations is a tough, tough decision for them to not be in a market. So, I think they are going to – with E-commerce they are going to struggle a little but I think they are pretty bright folks when they will figure out a way to use their space that maximizes the value for them.
Steve Liew: It’s Steve here Sam, we’ve seen a similar situation with staples where originally we thought the expressed intent might be to downsize the stores, but when it came to the sort of final discussion then they’ve actually renewed in a number of locations for the full space. So I think retailers that are – continue to adjust their understanding of how e-commerce will affect their business, how they can play in that space and the reality is, is I think for most retailers e-commerce is going to represent some from of Omni channel strategy where retail, a physical box available for pickup et cetera is going to represent an important part of the strategy. So I think that bodes well as we think about how things may unfold going forward.
Sam Damiani – TD Securities: Great, thank you.
Huw Thomas: Welcome.
Operator: (Operator Instructions) Our next question comes from Pammi Bir from Scotia Capital. Please go ahead.
Pammi S. Bir – Scotia Capital Markets: Thanks good morning. Just maybe one quick one, Huw you mentioned some incremental CapEx spending this year that will impact if or in your 2014 outlook, can you maybe elaborate on the increase over actual costs in 2013 and then the, perhaps the nature behind some of that incremental spending?
Huw Thomas: Probably at the high-end Pammi $2 million to $3 million or something like them and if I look at our overall portfolio. I mean you’ve got a $7 billion portfolio and the level of capital that we’ve had to invest in the past has been extraordinarily small in terms of what I’ll call maintenance capital. The portfolio obviously ages on average a year every year and so having to invest a little bit more in the portfolio across multiple assets to make sure it’s of the quality that we think is appropriate for the quality of the sites we have and the tenants that we have. So it’s really just maintenance CapEx in a number of sites. That’s it.
Steve Liew: I would also say on the redevelopment front, if there are centers that we are experiencing some very good demand we are going back in to look at some of the centers that are on the other side of our average age to call it reinvigorate the site and then that ends up yielding something in our rent renewals and tenants coming in. So you may see more capital, but you should also see it in the NOI.
Pammi S. Bir – Scotia Capital Markets: All right. Great no that’s great. Thank you.
Steve Liew: Welcome.
Operator: Our next question comes from Neil Downey from RBC. Please go ahead.
Neil Downey – RBC Dominion Securities, Inc.: So just on that step-up this year in capital reinvestments, is there a chance that is somewhat of a permanent step-up just due to the portfolio age and if not an isolated 2014 event?
Mario Calabrese: Again it depends on the markets and where we are spending money. We are spending money in very particular market, but does not a less spend some money in every property type CapEx. This is a few locations where we want to spend money to get the specific things done. If next year we want to do that and again drive some growth, we will do it there. So, again it maybe or may not be. The next year it maybe lower if there isn’t a need for it in those particular market.
Neil Downey – RBC Dominion Securities, Inc.: Okay and just turning back just discuss some clarity on the comments with respect to VMC and I believe with expected investment of $200 million give or take over the next two years cumulatively is that Calloway’s share?
Mario Calabrese: No, that’s not 100%. And again that only contemplates the building we’re building now and infrastructure that we’re putting in place. To the extent tomorrow we start working on another major project that is obviously going to change things considerably. So, Phase II and then we’re obviously talking to a lot of other potential tenants and looking at our fees and so on. With that contemplating the existing building where we already have a deal in place.
Neil Downey – RBC Dominion Securities, Inc.: Okay. I was simply seeking to quantify whether that was a half or whole interest of thing.
Mario Calabrese: Yes, that’s a 100%. Calloway share would be half.
Operator: Our next question comes from Sam Damiani from TD Securities. Please go ahead
Sam Damiani – TD Securities: Hi good morning. Again just on the KPMG Tower can you remind us how much per footage there taking in the status of release and the balance that hold?
John Darlow: Yes, the building is 300,000 square feet for the main tower and they are taking half of the space. Right now they have an option to take more if they would like, they’re accepting their option or not. And right now we are in the process of talking to and responding to some our fees for the balance of states, sorry but to lease out the balance of the states. But no deals, no lost end deals that we can announce.
Sam Damiani – TD Securities: How was the market up there overall?
Huw Thomas: Well, I think what and you will see it to those you haven’t been up here. Obviously what you are beginning is a totally new urban node. I mean if you go to the city of Bonn website and you can see a two-minute video or you can come to last site and click on it and see what long-term it might look like. All that we can say is, if you look at similar development for that happened. At the end of the transit lines then over time those enabled substantial mixed used developments to happen. As we are moving forward, we have incredible support from the city and the province, in terms of designation of the area as a substantial future growth node and if you look at I think its Ontario 2041 and the long-term plan for Ontario and the city of Bonn and the neighborhood areas are designated one of the highest growth areas. So the market today I think people are just thinking about what I would call regionalization of their offices as they move either away from the downtime core [ph] or as the area north of Toronto Expanse then it will be a natural location obviously for people to put new office and then associated residential and retail space.
Sam Damiani – TD Securities: Great. Thank you
Operator: There are no further questions at this time. Please continue.
Huw Thomas: Thank you very much obviously to everybody in the participation this morning. If you have any follow up call. Then myself Mario. Rudy and the rest of the team would certainly be pleased to answer those. As always, we appreciate yourself all and your support and look forward to seeing and talking to you in the coming days and weeks. Thank you very much.
Operator: Ladies and gentlemen. This concludes the conference call for today. Thank you for participating, please disconnect your lines.